Operator: Good morning, and welcome to the Interpublic Group third quarter 2008 earnings conference call. (Operator Instructions) I would like to introduce Mr. Jerome Leshne, Senior Vice President of Investor Relations. Sir, you may begin.
Jerome Leshne: Good morning and thank you for joining us. We have posted our earnings release and our slide presentation on our website, interpublic.com, and we will refer to both during the course of this call. This morning we are joined by Michael Roth and Frank Mergenthaler. We will begin with prepared remarks to be followed by Q&A and we plan to conclude before market open at 9:30 am Eastern. During this call we will refer to forward-looking statements about our company which are subject to the uncertainties in the cautionary statement included in our earnings release and in the slide presentation, and further detailed in our 10-Q and other filings with the SEC. At this point it is my pleasure to turn things over to Michael Roth.
Michael Roth: Thank you, Jerry and thank you all for joining us this morning as we review our results for the third quarter and first nine months of 2008. I'll begin by covering the highlights of our performance and Frank will take us through the results in detail. After his remarks I'll return with closing comments before we move onto the Q&A.  We are very pleased with the results that we are sharing with you today. Our performance for both the quarter and the year-to-date are the strongest that IPG has delivered in many years. Organic revenue growth of 7.6% in the quarter and 6.4 % for the nine months put us at the top ranks of our industry. We had contributions to growth across the marketing disciplines and the strong results we are sharing with you were achieved against a difficult comp in the third quarter a year ago. Turning to operating margin, we saw good progress from 3.3% in the third quarter of 2007 to 6.7% for the same period this year. We are seeing improvements in all our key cost ratios and operating margins before restructuring for the past 12 months at just north of 8%, continuing what is now a two-year trend of improving profitability quarter by quarter. All of our major units are showing improvements in their financial performance thus far this year. As a result of these factors, we saw our third quarter operating income rise from $51 million in 2007 to $116 million this year. For the first nine months, operating income jumped from $73 million in 2007 to $259 million this year. All of this is very positive news and demonstrates that we continue to succeed in delivering significant progress against the financial targets that we set for 2008. This is a testament to our people and the talent and professional excellence that exists across our many great agencies, as well as to existing strong management and discipline in all our units. This kind of progress is what we foresaw when we set out to transform IPG. What no one could have seen coming, of course, is the dramatic deterioration of the economic environment in which we are operating and the resulting impact on the financial markets. Through the first nine months of this year, our results did not reflect these developments. However, during the past month or so as the crisis began to impact the global economy, we're seeing it beginning to weigh on marketers plans for both the fourth quarter and 2009. This makes the prospects of a slowdown in client spend more of a risk. We believe that with our strong performance year-to-date we remain positioned to achieve our financial objectives for 2008. However, the impact of an increasingly unsettled and volatile business environment on our sector does create a risk to meeting our stated goals. I'll have more to add on this in my closing remarks, but for now let me turn things over to Frank.
Frank Mergenthaler: Good morning. As Michael indicated, we are very pleased with the performance in Q3 and the nine months. The quarter’s results demonstrate that we continue to make significant progress on both growth and profitability. I'll remind everyone that the presentation slides which accompany our remarks are available on our website. Turning to slide 2, consolidated organic revenue growth was 7.6%, led by growth in the U.S. against a strong comparable quarter; and the UK with solid performance across our advertising and marketing disciplines. Operating income was $116 million, more than twice the same period last year. Operating margin expanded to 6.7% from 3.3%, reflecting improved leverage on sales and related expenses. In general, all controllable expenses were well managed in support of our growth. Our diluted earnings per share was $0.08 compared with a loss of $0.06 a year ago. Turning to slide 3, you can see our complete P&L for the third quarter. I'll cover revenue and operating expenses in detail on the slides that follow. On slide 4 we provide additional detail on revenue. Reported revenue in the quarter was $1.74 billion, an increase of 11.5%. Compared to 3Q07, exchange rates had a positive impact of 2.3% while net business acquisitions added 1.6%. Organic revenue growth of 7.6% compares to 5.7% in 3Q07. Growth was attributable to higher revenue from existing clients and from net new business wins. Our events marketing business was a strong contributor to growth, so it's worth noting that new event business typically comes with relatively high pass through revenues and expenses. This occurs when we book offsetting revenue expenses and the use of third parties. Such revenue and expenses occur in equal amount so apart from our fees, they are profit neutral and typically their growth is immaterial to our consolidated growth rate; but in Q3 their strong increase contributed 1.8%, approximately $30 million to organic revenue growth. The expense offset is in O&G (Office and General Expenses). On the bottom half of this slide you can see that both operating segments performed well in the quarter. In our integrated agency networks, reported revenue grew 10.6% and the organic increase was 5.6%. Our growth was led by media, digital activation as well as advertising. At our Constituency Management Group, reported revenue grew 16.8% and the organic increase was 18.3%. Performance was strong in all our major agencies and disciplines, including events marketing, public relations, branding, and sports marketing. Slide 5 provides a breakdown of Q3 revenue growth by region. In the U.S., organic revenue growth was 7.9% against 6.8% in 3Q07. We had growth across our full range of advertising and marketing disciplines, led by Mediabrands, McCann World Group’s MRN Momentum units, our Hale, Holiday and Deutsche agencies; public relation agencies Weber Shandwick and GolinHarris; and Jack Morton and Events. This brings organic revenue growth for the nine months to 5.4%. Internationally, reported revenue growth was 15% which includes a significant currency lift. Organic growth was 7.2% in Q3 and 7.8% for the nine months. In the UK, Q3 organic growth was 21.1%, a terrific result that includes the performance of our events business, Jack Morton. It is worth noting that separate of our events business, organic growth was 13% in the UK, attributable to new business and higher existing client revenue at McCann and Lowe. In continental Europe, organic growth was 6.8% paced by McCann and Lowe with new client wins and increases from existing clients. Among the largest markets we had increases in were Germany, France, and Spain. In Asia Pac, Q3 organic growth was 1.9%. We had strong gains in India and solid growth in China. Growth in the region has slowed due to challenging economic conditions in Japan, where we have a major presence through McCann Erickson. In Latin America, organic revenue growth was 3.1% led by McCann due to higher revenue from existing clients. Our other markets category increased 28% as reported primarily due to currency and acquisitions. On slide 6, we present a longer view of organic revenue growth that tracks our progress on a trailing 12-month basis over the turnaround period. As you can see, organic revenue growth has trended up strongly and was 5% for the most recent 12 months. On slide 7, we move on to a closer look at operating expenses. Consolidated operating margin grew 340 basis points from a year ago. Salaries and related expense were $1.09 billion in the quarter, 62.8% of revenue compared with 66.3% of revenue a year ago, an improvement of 350 basis points. As you'll see in the appendix to our presentation slides, leverage on base salaries and benefits improved 180 basis points in the quarter and 130 basis points for the nine months. Incentive expense decreased in Q3 from a year ago due to more ratable recognition of our annual plan compared to last year. Temporary labor, which has been an area of focus for us, decreased to 3.1% of revenue from 3.6% a year ago. It is worth noting that salaries as a percentage of revenue benefit from our incremental pass through revenue in the quarter, and that our leverage improvement in the quarter was still strong, approximately 250 basis points adjusting for that effect. Office and General expenses on the lower half of this slide were $526 million, 30.2% of revenue compared to 30.1% of revenue a year ago. The organic increase was 9.2%, but the comparison reflects the increases in pass through expenses which are offset in revenue. Excluding that impact, O&G expense increased only 3.3% and leverage improved approximately 50 basis points. As you can see in the appendix, real estate utilization improved as a percent of revenues which is the result of ongoing operating disciplines and cost actions taken in 2007. On slide 8, we show continuing progress on operating margin on a trailing 12-month basis, which is one of our primary financial objectives. This excludes past restructuring impairment charges in order to capture the trend in underlying results. Q3 was our ninth consecutive quarter of improvement and as you can see, adjusted operating margin over the last 12 months was 8.1%. On slide 9, we turn to cash flow for the year-to-date period. For the nine months, cash generated from operations was $146 million compared with the use of $209 million in 2007, an improvement of $365 million. Working capital used $159 million in the nine months, which is an improvement of $235 million from last year. We would typically expect the use of cash and working capital for the first nine months due to the seasonal nature of our business. Working capital management continues to be an area of strong focus for us. Investing activities used $196 million in the nine months, including $75 million in Q3 related to four acquisitions that were closed. The most significant of these were the Middle East Communications Network, the premier marketing services group in the Middle East/North Africa region where we moved from a minority to majority position. And Huge, a terrific digital agency based in New York in which we took a majority interest. The net change in cash and marketable securities in the nine months was a seasonal decrease of $323 million compared with a decrease of $431 million a year ago. This is an improvement of $108 million, notwithstanding our redemption of $191 million of convertible notes in March of this year. Turning to our balance sheet on slide 10, you can see that we ended Q3 with $1.7 billion in cash and short-term marketable securities. That is an increase of $174 million from a year ago while again having redeemed the converts in March of this year. Our debt maturity schedule as of quarter end is presented on slide 11. Total debt at quarter end was $2.1 billion. Our maturities are well spaced going forward, with $250 million maturing in November 2009 and the same amount in November 2010. We were pleased to initiate our new $335 million revolving credit facility with a group of leading banks in the quarter which has a three-year commitment. We continue to have the $750 million facility in place until June 2009 as well. Along with our cash position, and the fact that we do not rely on short-term financing, our liquidity continues to be strong, which is particularly important given the current situation in the credit markets. In summary, this was the best Q3 and nine months in many years for IPG with improved controls, business processes, systems and talent, we believe we are in a much stronger position to navigate through today's more challenging business environment. We have strong liquidity, our businesses are demonstrating full competitiveness, and we are successfully utilizing enhanced financial tools and insight to improve efficiency and profitability so as to drive improved performance across the board. Now let me turn it back over to Michael.
Michael Roth: Thank you, Frank. As you can see, our performance for Q3 and the first nine months was strong. Profitability continues to improve. We posted very good organic revenue growth with additional assignments from existing clients, as well as new business wins. The growth was across all marketing disciplines. We continue to see demand for digital, marketing services, integrated solutions and high value, strategic thinking in advertising and media, as well as strong capabilities in the emerging economies. We have made important moves in recent times to further improve our position in key growth markets and in emerging media capabilities. We will remain focused on these areas for potential acquisitions and alliances. Topmost on our agenda is keeping the positive momentum we are building and making all of our agencies’ offerings fully competitive. This means creating solutions for clients that put the right people and the right tools at their disposal at the right time to connect with consumers. As such, we will continue to invest appropriately in talent and tools in strategically critical areas for the long-term health of the business The other item that is top of the mind for us is staying close to the broader economic developments and reacting quickly to protect our margins. As I mentioned in my opening remarks, the difficult global economic situation is leading to increased caution on the part of our clients. To date, we have experienced a limited number of delays and cancellations in some fourth quarter project spending. There is no clear pattern to it, though we are seeing softness in the financial sector and auto continues to be hit. By region, we're seeing softness in Japan and some softness in project spend in European markets. The question we cannot answer with certainty is whether there is more to come and the degree to which we will see activity curtailed. We will continue our dialogue with our clients and work closely with them to achieve their business needs, and also continue to do something we have pledged to you since the beginning of this year, which is to manage the business very conservatively as we move through this period of uncertainty. We continue to believe that our model, based on the full range of marketing disciplines and broad geographic presence, will provide some measure of protection. As you know, the momentum of the economic downturn is calling into question every business assumption, no matter what industry you're in. Nonetheless, we continue to believe we are in positions to achieve our financial objectives for 2008, although the degree to which economic conditions further deteriorate is a risk to meeting these goals. We will be extremely focused on controlling costs and managing margins and at the same time continue to partner with our clients. That is what we are asking of our operating management and of ourselves. It's what's required to consolidate and build on the progress we have been making and to enhance IPG's long-term value. With that, I want to thank you for being with us and open up the floor to questions.
Operator: Our first question comes from Alexia Quadrani - JP Morgan.
Alexia Quadrani - JP Morgan : Could you just give us a bit more color on how the quarter progressed? Specifically, was there a significant change in organic growth in September versus the rest of the quarter? How much of a drop off? Do you think you can quantify a bit more for October, although it’s still early?
Michael Roth:  Actually, September was a strong month for us. It wasn’t that we were seeing deterioration. Obviously I referenced in my remarks some drop-offs in special projects in October, but we don’t see that as a major pattern.
Alexia Quadrani - JP Morgan : When you look at your auto clients, how has the revenue come in versus your expectations? Can you give us a sense of how conservative you’re being for that vertical going forward in terms of your expense planning?
Michael Roth:  Obviously when the year started we anticipated a pullback in automotive, so as far as our planning process it may be slightly down, but it’s not a significant miss in terms of what we were expecting. On the positive side, we picked up some new business at General Motors with respect to the CRM business, so we’re encouraged by that. Although it is obviously troubling, it is not that far removed from what we had assumed.
Alexia Quadrani - JP Morgan : Lastly, how low do you think the organic revenue growth can get in Q4 for you to still meet the low end of your guidance?
Michael Roth:  I know that’s a key question, and obviously we’re looking at it very carefully. Obviously to the extent we’re flat in the fourth quarter we should be okay in terms of meeting our objectives. To the extent it goes negative, that’s where we have to look very carefully at managing our costs and see how it impacts us.
Operator:  Your next question comes from John Janedis - Wachovia.
John Janedis - Wachovia : What are you hearing from the BRIC countries as we head into ’09? Are you seeing concerns there anywhere near the levels of the U.S. or Europe?
Michael Roth: Obviously there are concerns all over the world, not just the BRIC countries and there’s a lot of uncertainty. It ranges depending on sector and the geographic area, John, and I can’t tell you one specific area versus the other. Obviously we did see some softening in the BRIC countries and obviously what is going on in the capital markets is worrisome. I can’t point to anything specific that would call to attention one particular area.
Operator:  Our next question comes from Troy Mastin - William Blair.
Troy Mastin - William Blair : A follow up to what Alexia had asked -- and I know this is hard to answer -- but I’m curious if you could provide some depth regarding looking into ’09. At what level of organic revenue growth or perhaps traction would you experience negative operating leverage?
Michael Roth:  Obviously it’s too soon. We want to get through the fourth quarter before we get to 2009. Our goal is to continue improving our margins, as we said we were going to do. So therefore our marching orders are that even if we don’t see organic growth, we have to improve our margins by keeping our eyes on our cost profile and that’s how we’re going into the planning cycle.
Troy Mastin - William Blair : So is it fair to say that if you had flat organic in ‘09 you would still expect to achieve margin improvement?
Frank Mergenthaler:  Yes.
Michael Roth:  That’s what we’re driving towards, yes.
Troy Mastin - William Blair : And then in terms of the fourth quarter, can you give us an estimate of how much as a percentage of revenue or in dollars is project-oriented and how substantial the cuts or the delays you have seen so far in the fourth quarter have been relative to the potential cancellations or delays?
Frank Mergenthaler:  The cancellations have been spotty. I know the question is how much. We don’t know the exact number. We’re using an approximate number of around $75 million for the quarter in terms of project. That’s probably conservative.
Jerome Leshne: Troy, in a normal year we have pretty good visibility as to the likelihood that those projects would be cancelled, but it’s not a normal year.
Troy Mastin - William Blair : Make sure I understand conservative -- does conservative mean $75 million is a low guess or that’s a high guess?
Jerome Leshne:  Probably a high guess.
Michael Roth:  High guess.
Troy Mastin - William Blair : I just wanted to make sure. You mentioned that you had some event business that sounded abnormally high in the third quarter. I just want to understand the $30 million that you referenced. Was that incremental versus last year, or was that total? If it was total, how much similar revenue did you have last year?
Jerome Leshne:  That was two discrete projects. It’s new business. The $30 million is the pass through effect which in the event business we act as either a principal or an agent. When we’re an agent we just get paid a fee and when we’re a principal, we take a little more risk. Then the P&L is a gross-up of our revenue expenses, so that $30 million is incremental revenue that you’re seeing it go through the revenue line and our expense line, so it’s profit neutral. On top of that we get a fee, and that’s also in our revenue line.
Troy Mastin - William Blair : On digital, I’m curious based on what you have encountered so far in the third quarter what you’re hearing early in the fourth quarter, do you feel like digital is being meaningfully impacted by the environment, maybe accelerated in growth for the third quarter? What can you tell us about what you’re seeing in digital?
Michael Roth:  Obviously digital includes a lot of things. Digital, when you talk digital in our business these days it’s not just the traditional digital that you know. I mean, digital is part of our PR business; it’s part of our event business; it’s part of all our marketing services businesses. Clearly clients are looking to spend more in digital than in traditional media, if you will. The good part of digital is that it is measurable. A lot of the business is measurable so therefore, if clients are looking to be conservative in terms of where they spend their dollars, they are more likely to spend it in an arena, for example, in behavior-based marketing where it is measurable. So if you spend X dollars you’ll know what the return is. That’s the kind of dialogue we’re having with our clients with respect to the digital environment.
Troy Mastin - William Blair : Is it fair to say that’s holding up better and maybe not showing many signs of weakness right now?
Michael Roth:  I would say it’s easier to see it and it’s easier to work with our clients in it, so probably yes.
Operator:  Your next question comes from Craig Huber – Barclays Capital.
Craig Huber – Barclays Capital : Hypothetically, if your organic revenues were down next year, just given the macro environment, can you just go through with us the nine cost categories you break out in your presentation package? Where do you think you have a lot of flexibility there? I assume in temporary help, incentive compensation, but can you also touch on the O&G lines where you have some flexibility, and how much perhaps?
Frank Mergenthaler:  The largest area of the opportunity we focus on is the salary line, both in full-time salary and also temporary labor. When you go to O&G, the variability of that cost base is not significant. With respect to real estate, things like that, it is very difficult to make short-term adjustments that have any material impact on that.
Michael Roth:  Also to the extent it’s project-based, it’s a lot easier to manage the costs that are associated with it because it’s specifically to that project. On a more general basis, that’s where the management comes into play in terms of anticipating what is necessary to service our existing clients. We don’t want to lose sight of the fact that we have the continue to do that. We have the processes now from a financial point of view to make sure we’re watching that.
Craig Huber – Barclays Capital : What I’m curious here about is given the significant progress you guys have made in the last couple of years, given the macro environment which is clearly not your fault and none of our faults, would you be willing to take down your employee base if you had down organic revenues next year? But of course that would also hurt your turnaround going forward once we get through this down cycle?
Frank Mergenthaler: It’s obviously the $64 million question, and what we do is when we deal with our business units, we have to manage to the margins and frankly it’s up to the management to decide how they’re going to do that. There are different ways of doing it. Certainly to the extent that there is no revenue and the people associated with revenue generation are being efficient or productive, then you have to look at whether they’re required in this environment. So it’s really on a case by case study where you have to look at how you’re going to operate in the margins. Some of our businesses are going to be up. It’s not that everybody is going to be down. Therefore in some cases we’ll invest in more people and in some cases we’ll have to reduce the amount of headcount.
Craig Huber – Barclays Capital : Can you help us just think about the organic revenue growth you had in the quarter? What percentage of that came from new business as opposed to just further business with existing clients?
Frank Mergenthaler: Most of it is coming from our existing clients.
Craig Huber – Barclays Capital : You mentioned project revenue of roughly $75 million conservative this year. What was that figure a year ago in the fourth quarter, please?
Frank Mergenthaler:  We don’t believe it would be materially different.
Operator:  Your next question comes from Ben Schachter - UBS.
Ben Schachter - UBS : When you’re looking at the UK and you see such strong growth there, can you walk through how that might look into 4Q and any initial thoughts on 2009? On 2009, when do you think you’re going to begin to have more clarity on what budgets look like? Is that a November timeframe, or are you waiting much longer than you have in the past?
Frank Mergenthaler:  We’re in the middle of doing our planning now. Probably in November we’ll have better visibility into 2009 and that’s when we’ll have our targets finalized and so on.
Jerome Leshne:  When you look at the U.K. organic growth this quarter of 21%, you know, when you pull out the event business, you still had pure organic growth around 13% and we have called out, over the past two years, about a significant amount of investment we have made in talent across all of our agencies in the UK and what we’re seeing is a lot of our core agencies, McCann and Lowe, had very strong quarters. What we are starting to see is those teams take hold and we expect them to continue to show strong performance.
Ben Schachter - UBS : You are seeing a lot of weakness in the UK and some people say it’s even more exaggerated than it is here. Do you think the UK will continue to outgrow the U.S. both in 4Q and 2009?
Jerome Leshne:  We don’t have visibility in 2009. We’re pleased with the turnaround in performance we have seen in the UK through the nine months, and we’re pleased with the management teams we have put in that market.
Frank Mergenthaler: Obviously the turnaround in Lowe is helpful there, and we had some business wins in Lowe that are attributed to that.
Operator:  Your next question comes from James [Barrett] - Morgan Stanley.
James Barrett - Morgan Stanley: Given that you have got the new $335 million facility in place and the lasting of the ELF facility next year, are there any plans to put in any incremental facility as you look into next year? Can you talk about what your plan is once the lapsing of that facility gets through and what your plans are for the cash deployment?
Michael Roth: You know, one of the things we have been very successful at is being very conservative and opportunistic when the markets present themselves. So to the extent there is an opportunity for us to put in a facility on a more normalized basis to replace the ELFs, then that is obviously what we will do. But right now given the market conditions, we’re fortunate in that we don’t have to do anything right now, so that’s the way we have been looking at it. We have always said when everything turned to normal we would take a look at our excess cash positions and see what we would do with that excess cash. Fortunately, that excess cash is a very important thing for us to have in this environment and we’re pleased that we have it. So we want to see the markets settle down before we commit to do anything with our excess cash.
Operator:  Your next question comes from Matt Chesler - Deutsche Bank.
Matt Chesler - Deutsche Bank : On the new business wins, it was certainly a highlight; the growth in the quarter was driven by new business, by spending from existing clients. How are you doing year-to-date on new business wins? Are you still positive?
Michael Roth: The answer to that is yes. Obviously there are not a lot of new business pitches out there. We are participating in the big ones that are out there and we expect to see one or two before year end, but we’re net new business positive for the year.
Matt Chesler - Deutsche Bank : Are you more or less new business positive this quarter as opposed to last quarter?
Michael Roth: I would say last quarter was a little stronger on new business than this quarter, but it’s hard to tell. The important thing is we’re net new business positive for the year.
Matt Chesler - Deutsche Bank : Comment if you would on two of the components of your turnaround plan. One is Draft FCB, I didn’t hear that even mentioned during the quarter, and if you read the trade press it sounds like there is a bit of musical chairs going on there. And Lowe, you highlighted some strength there but again it’s a little bit in conflict with what the trade press is reporting.
Michael Roth:  Well let me talk about Lowe. I don’t think the trade reports are at all accurate with respect to Lowe. What they’re focusing on is some management issues with Lowe, but from a business perspective, we had committed to Lowe being profitable in 2008 and we expect to deliver on that. The trade presses are focusing on, frankly, Steve Gatfield, and we do have a search to find someone to replace Steve. The existing management team, including Steve, is working very carefully in the markets right now. Tony Wright, Fernando, and Kevin and the rest of the team out there are doing a terrific job, so we’re very pleased with the management of Lowe. Frankly, for the first time in a number of years we’re seeing an orderly transition in terms of management at Lowe, so we’re pleased with that. We’re going through the process, and it’s going quite smoothly. Draft FCB if you recall, the noise in Draft FCB frankly is pretty much in New York because when Verizon moved over to McCann there were some holes left in the New York Draft FCB. But the rest of Draft FCB is performing very well. They’re in line with what they said they would do for 2008 and we’re focusing on giving a boost to the New York office of Draft FCB, but Chicago and the rest of the world are performing extremely well.
Matt Chesler - Deutsche Bank : Can you talk about the strong performance of Lowe? Up to this point, are they still on track to be profitable for this year or were there any trends that might jeopardize -- notwithstanding any expected changes -- in the fourth quarter spending? Were there any wins that might jeopardize their ability to reach profitability in 2008?
Michael Roth:  No, in fact I think I just said they’re on track to be profitable for 2008. Obviously when we say profitable, it’s just profitable. It’s not at the margins that the rest of our businesses are at, but obviously that is the opportunity going forward.
Operator:  Your next question comes from Michael Nathanson - Sanford Bernstein.
Michael Nathanson - Sanford Bernstein : I have two housekeeping for Frank and then two on the cost side. Frank, I’m looking at slide 4, CMG growth in the quarter. You mention there was $30 million in project revenues. Was that all related to CMG or is that split?
Frank Mergenthaler:  Michael, it is. If you look at the CMG growth of 18.3%, if you take out the specific project related work, a more normalized growth rate is about 7.8%.
Michael Nathanson - Sanford Bernstein : I wonder if you can help us with forex for the rest of the year and ‘09? I think it is important that everyone has the same numbers.
Frank Mergenthaler:  We have taken a very top level look at that. I think the headwind in the second quarter is about 2% and the headwind in the fourth quarter is 3% to 4%; but quite candidly, that’s more of a guesstimate at this point.
Michael Nathanson - Sanford Bernstein : So 3% to 4% in the fourth?
Frank Mergenthaler:  No -- 2% in the fourth, 3% to 4% in ‘09.
Michael Nathanson - Sanford Bernstein : On the cost side, it looks like professional fees are starting to level off here. I wondered, is there another leg down or is this a good run rate into the future?
Frank Mergenthaler:  I think we have made dramatic improvement and we’ll always continue to drive those costs down; but we’re not there yet and I think that we are starting to normalize, but we would expect to see continued improvement into ‘09.
Michael Nathanson - Sanford Bernstein : Last one would be on incentive comp. I think you said to us over the past, don’t read too much into quarter-over-quarter changes in incentive comp, but on a 12-month basis, on a year basis, what is the relationship? How should we think about the relationship between incentive comp and organic revenue growth?
Frank Mergenthaler: I think we have called out that a range for reasonable number is roughly 3.5% of revenues and we still believe that’s the right range.
Michael Nathanson - Sanford Bernstein : Okay. Thanks.
Frank Mergenthaler:  You’re welcome.
Operator:  Your next question comes from Sarah Gubbins - Merrill Lynch.
Sarah Gubbins - Merrill Lynch : Aside from the project-based noise or some cutbacks, are there particular disciplines where clients are being either more or less cautious or talking about cutting back?
Michael Roth: No, I think it’s on a client-by-client basis. The projects are easy to see because first of all it’s immediate and you see the benefit. But as far as the overall spend, I think it’s important to talk about what clients do in a challenged environment. Certainly the fact that even in a difficult environment many of our clients view spending to continue to build brand as an important aspect of their marketing dollar so we are seeing that. In fact, our conversations with clients say that we have to continue to spend to build our brands so that when the market turns we haven’t lost market share. So it’s not in any particular discipline that we’re seeing cut backs on. As I said, the clients are being very, very cautious and we have to be able to really show that we’re moving the needle in terms of the dollars that are being spent so we have invested in a lot of tools for measurement; obviously behavioral-based marketing helps with respect to that type of analysis. But I think the clients are basically saying we’re seeing demand, we have to focus on where the demand is and what we can do to continue to maintain our market share. I think it would be a mistake -- and I’m not just saying it because we’re in the business -- but it’s a mistake for marketers to pull back completely in this environment because when it turns around, they’ll lose market share if they haven’t done that.
Sarah Gubbins - Merrill Lynch : Would you expect the pass through revenue and costs to also impact the fourth quarter? Are you still expecting about $150 million in acquisition spend for the year?
Frank Mergenthaler:  For the pass through costs, in prior quarters it’s been negligible for a growth contributor so this was a bit of an anomaly. We would expect, again, you’re always going to have pass through but we don’t expect a material impact on growth. With respect to acquisition spend, the $150 million is still a pretty good number.
Operator:  Your next question comes from Dan Salmon - BMO Capital Markets.
Dan Salmon - BMO Capital Markets : I wanted to dig in a little bit on some of the regional growth rates outside of the U.S. and the UK. You mention Japan was weighing down Asia Pacific; can you give us a little color on Asia Pacific ex-Japan?
Frank Mergenthaler:  China was still pretty strong at about 6% growth. That’s off a very strong Q2 with the Olympics. India was low double-digits. Brazil was relatively robust so when you pull Japan out of the mix, the rest of the developing markets, Southeast Asia was relatively strong. We have such a big presence in Japan, it distorts the regional disclosure but the rest of the region is doing fine.
Dan Salmon - BMO Capital Markets : It hit me on Brazil there as well. The big picture question that goes with that is, obviously there were some one-time effects in Europe, but even Western European growth was strong, although you mentioned maybe some project worries there. What is your take on the decoupling theory between the emerging markets and then the larger UK and Western European, U.S. markets and how economic troubles that have been focused on the more mature markets may drip into some of those faster-growing smaller markets?
Michael Roth:  You know, you have to distinguish between local markets and global markets, and clients that are global. Certainly you’re going to see a more immediate impact on local, particularly on the media side and the local spend. We’re going to see that. Again, whether that is temporary or not is going to be a function of how long it takes for recovery. In terms of the global environment, as I said, we see our global clients continue to invest in these emerging markets. They view them as important markets for the future and this is an opportunity to build brand, and I believe we’re going to see it. It’s not going to be easy and whatever dollars are being spent are being very carefully allocated, but there’s still going to be a spend. Unless we see some major depression out there, I think there will be continue to be spend; the question is where it is going to come from. That’s what our job is. Our job is to work with our clients to see where they can best spend their dollars.
Operator:  Your next question comes from Peter Stabler - Credit Suisse.
Peter Stabler - Credit Suisse : As you look ahead to ‘09 and we’re really in this period right now where clients are sitting down with their agencies and discussing scopes of work agreements for next year, are you noticing any changes to the structure of those agreements? For instance, are you seeing an increase in clients requesting six-month deals rather than the typical annual?
Michael Roth:  We haven’t seen that. We just recently had a big training session and we had two of our major clients -- I won’t mention who they are -- but they addressed our group and both of them were very aggressive in terms of what they see in the marketplace and how important the relationship with their agencies are in terms of moving the needle. What they’re looking for is partnership between us and them to make sure that their dollars are being spent wisely. It’s not that they’re cutting back or they’re looking to do it on a shorter timeframe. They just want to make sure that they’re getting the most for their dollars. That’s the challenge for us. We have to prove that (a) we’re adding value, (b) we’re being the most efficient that we can in terms of the price, and that’s how we move forward. But we haven’t seen it. It may be out there on a local basis, but we haven’t seen any major restructuring of our contracts like that.
Operator:  Our next question is from Catriona Fallon – Citigroup.
Catriona Fallon – Citigroup: A question on the working capital. It looked like there was a nice improvement in working capital. Is this a one-time change or is this something permanent? Essentially does this reverse if organic growth changes or drops?
Frank Mergenthaler:  Catriona, working capital has been an area that all of our agencies have been focusing on for the past year-and-a-half. So we now have financial executives around the globe incentivized on more aggressively managing the working capital. We’re seeing the improvement in that now, but again, working capital is volatile quarter to quarter but we would expect to see continued improvement off of what we believe was historically an area we underinvested behind management time.
Catriona Fallon – Citigroup: I read somewhere that in Europe you’re combining Rivet into Lowe in London you for the Nokia contract. Are there more opportunities to do that type of consolidation and how much do you really achieve on the cost side from bringing agencies together?
Michael Roth:  That was not done as a result of a cost initiative. Again, we’re always looking for the best way to service our clients and it also goes to show how one of the benefits of a holding company is that you use all of your resources that are available. In this case, Rivet, which is part of Draft FCB, was working very closely with Lowe and Nokia and the conclusion was that it would be better served to be working together through Lowe on this particular area. Draft FCB continues to work with Nokia as well. So it wasn’t so much driven by cost as it was a working relationship among the client as well as the IPG agencies. We’re always looking at ways to be more efficient in terms of not duplicating resources with respect to existing geographic areas, but I wouldn’t view it as a wholesale consolidation looking throughout the world. We were opportunistic. We look at what is efficient, and that’s how we move.
Catriona Fallon – Citigroup: My last question is a big picture one, or a theoretical one. If clients are talking about the need to cut ad spend into ‘09, what does that really mean for their spend with IPG agencies? If, for instance, the idea is to cut spend 10%, what portion of that will be on the media buying versus on the creative aspect of the spend? How should we be thinking about clients’ need to cut costs versus their need to maintain the creative aspect?
Michael Roth:  There are two ways of looking at it. First is the delayed spend, and that is when it comes to year end they move projects, they move work into 2009 versus 2008. Some of that is taking place. Some of it is on the project side doesn’t come back. That will affect as we have been talking about throughout this call. As far as where they cut and what the impact is, that’s where the tools that we have and how we work with our clients in terms of where they spend their dollars. It will depend. If it is a business-to-business environment, they may cut traditional TV versus print or Internet. I mean, that’s where the tools that we use with respect to how you allocate your spend becomes relevant. so it will depend on the client, and it will depend on the environment. But in some cases, it will be media, in some cases it won’t. There is no blanket rule, but the other side of it is how much of it is a cut in scope and how it affects us? Obviously if it’s a cut in scope and we have the ability to reduce the amount of people that are allocated to it, we’re talking about reductions in margin as opposed to anything else. So that all goes into the mix of how we do our planning for 2009, which is exactly what we’re looking at now.
Operator:  Your next question comes from Mark [Elm] - Credit Suisse.
Mark Elm - Credit Suisse : Most expectations are for rents to be moving lower in the next couple of years. Could that be a significant improvement for you? Do enough of your leases come up during the next year or so that you might be able to negotiate down?
Frank Mergenthaler:  We have a very aggressive real estate team. I think we have made significant progress over the past three years in pushing our rental costs down. It is predicated on markets and maturity of leases, but we have got fairly sizable presence in most major cities. A lot of those leases are at very favorable rates still. So we’ll continue to look at opportunities, and we’ll push very hard.
Mark Elm - Credit Suisse : Not to beat on the working capital again, but year-to-date it has been strong; was this again just one of those quarters with significant use? Was there anything unusual there, or is it just, again, quarterly timing?
Frank Mergenthaler:  There was nothing unusual in the nine months or the quarter.
Operator:  There are no more questions at this time.
Michael Roth:  I thank you again. I thank you all for your support. Obviously it is a challenging environment but I hope you get a sense that we’re focused and we look forward to the next call and sharing information with you. Thank you again.